Operator: Ladies and gentlemen, thank you for standing by. Good day, and welcome to the WD-40 Company First Quarter Fiscal Year 2020 Earnings Conference Call. Today's call is being recorded. [Operator Instructions]. I would now like to turn the presentation over to the host for today's call, Ms. Wendy Kelley, Director of Investor Relations and Corporate Communications. Please proceed.
Wendy Kelley: Thank you. Good afternoon, and thanks to everyone for joining us today. On our call today are WD-40 Company's Chairman and Chief Executive Officer, Garry Ridge; Vice President and Chief Financial Officer, Jay Rembolt; and President and Chief Operating Officer, Steve Brett.  In addition to the financial information presented on today's call, we encourage investors to review our earnings presentation, earnings press release and Form 10-Q for the period ending November 30, 2019. These documents are available on our Investor Relations website at investor.wd40company.com. A replay and transcript of today's call will also be made available at that location shortly after this call. On today's call, we will discuss certain non-GAAP measures. The descriptions and reconciliations of these non-GAAP measures are available in our SEC filings as well as our earnings presentation.  As a reminder, today's call includes forward-looking statements about our expectations for the company's future performance. Of course, actual results could differ materially. The company's expectations, beliefs and projections are expressed in good faith, but there can be no assurance that they will be achieved or accomplished. Please refer to the risk factors detailed in our SEC filings for further discussion. Finally, for anyone listening to a webcast replay or reviewing a written transcript of this call, please note that all information is presented -- is current only as of today's date, January 9, 2020. The company disclaims any duty or obligation to update any forward-looking information, whether as a result of new information, future events or otherwise.  With that, I'd now like to turn the call over to Garry.
Garry Ridge: Thanks, Wendy. Good day, everyone. Happy New Year, and thanks for joining us for today's conference call. Today, we reported net sales of $98.6 million for the first quarter of fiscal year 2020, down 3% compared to the first quarter of last year. Translation of our foreign subsidiaries results from their functional currencies to the U.S. dollar had an unfavorable impact on sales in the first quarter. On a constant currency basis, sales would have been relatively flat compared to the first quarter of last year.  Net income for the first quarter was $12.2 million compared to $13.3 million last year. Diluted earnings per share for the first quarter was $0.88 compared to $0.95 for the same period last year. If you follow us quarter-to-quarter, you may not like the results this quarter. Our business is one which fluctuations in performance of our markets from quarter-to-quarter are not unusual. That's why I don't -- we don't issue quarterly guidance and why I frequently caution investors not to follow us too closely quarter-to-quarter.  What's more important is that our long-term strategic drivers continue to perform well and are in line with our expectations. As you know, we aspire to drive consolidated net sales to approximately $700 million in revenue by the end of fiscal year 2025 and to do so while following our 55/30/25 business model. We'd like to remind investors that these long-term targets are probably wrong and roughly right. And though we acknowledge our 2025 targets are aspirational, we believe we can successfully bring those targets within reach. As a reminder, we refer to the brands that are going to get us to our 2025 -- there to our 2025 brands. They are WD-40 Multi-Use Product, WD-40 Specialist, 3-IN-ONE, WD-40 BIKE, GT85, 1001, Spot Shot, Solvol, Lava and No Vac. Our 2025 brands are our core strategic focus and the primary growth engine for our company.  The strategic driver number one is to grow the WD-40 Multi-Use Product. Our goal under this initiative is to make the blue and yellow can with a little red top available to more people in more places who will find more uses more often. In the first quarter, sales of WD-40 Multi-Use Product were $75.8 million, down 3% compared to last year. The decline was driven primarily by lower sales in Asia-Pacific due to the timing of customer orders in our Asian distributor markets and in China. Though these results may look disappointing, they no way reflect a trend. In fact, we see lots of opportunities for growth as we continue to maximize the product line through geographic expansion, increased market penetration and premiumization of the blue and yellow can with a little red top.  Premiumization creates opportunities for revenue growth as well as for gross margin expansion. We see a significant opportunity to increase penetration of our most successful innovation, Smart Straw. Currently, 41% of WD-40 Multi-Use Product's cans we sell are sold with the Smart Straw delivery system. Our objective is to grow that number to 60% over the next 5 years. We believe this initiative represents approximately $50 million in incremental revenue opportunity. Increased Smart Straw penetration is expected to drive accelerated revenue growth, which will begin to realize as we roll out Smart Straw next generation over about an 18-month period beginning in July 2020. This innovation supports our objective to grow WD-40 Multi-Use Product to approximately $530 million in revenue by the end of fiscal year 2025.  Strategic driver number two is to grow the WD-40 Specialist product line. In the first quarter, sales of WD-40 Specialist remained constant at $8.4 million compared to the first quarter of last year. However, we remain optimistic about the long-term opportunity for WD-40 Specialist and continue to believe we can grow the product line to approximately $100 million in revenue by the end of fiscal 2025.  Our tribe has delivered some best-in-class WD-40 Specialist products over the last several years. As a result, we now have an exceptional portfolio of products that we are proud to have wear the WD-40 shield.  The blue and yellow can with a little red top and that famous shield that it wears has been creating positive lasting memories for over 66 years. We know our end users around the world trust the shield, and they are making buying decisions based on that brand loyalty.  As Steve shared with investors in October last year, we've been evaluating the brand architecture associated with our WD-40 branded products. That is the products in our line that wear the famous shield. We needed to be certain that our primary packaging, that is to say the color and the words on our WD-40 Specialist cans was correctly communicating the product line's connection to its famous parent and helping our end users quickly find the solution they are looking for. After a lot of research and hard work by the tribe, we decided on a new way forward for our WD-40 Specialist product line.  If you turn to Page 8 in today's earnings presentation available on our website, you'll see a sneak peek of the new packaging we've designed for our WD-40 Specialist product line. The new packaging will be comprised of a metallic blue can and distinctive red top. [Technical Difficulty] 
Operator: Ladies and gentlemen, we have lost connection. Please stand by. We will begin momentarily.
Wendy Kelley: Sorry about that delay. Garry, continue on.
Garry Ridge: Thank you. The technical Gremlin's got us. So we'll start off again around the conversation of Specialist. So after a lot of research and hard work by the tribe, we decided a new way forward for our WD-40 Specialist product line. If you turn to Page 8 in today's earnings presentation available on our website, you'll see a sneak peek of the new packaging we've designed for our WD-40 Specialist product line. The new packaging will be comprised of a metal blue can and distinctive red top. We believe the new packaging drives major benefits. The new design leverages the famous blue and yellow can, it is simple, and uncluttered. It clearly communicates the product's purpose, and it improves our end users' ability to find the solution they are looking for, both at the store, shelf and online.  Ultimately, we believe the new packaging will give us stronger brand presence for both the WD-40 Multi-Use Product and the WD-40 Specialist, aligning them as now the blue and yellow brand with a little red top. We expect to see these new improved versions of WD-40 Specialist packaging on shelves in select markets by mid-2020, then available progressively around the world.  Strategic initiative number three is to broaden the product and revenue base. Strategic initiative number three includes maintenance products like 3-IN-ONE, WD-40 BIKE and GT85, but it also includes homecare brands, such as Spot Shot and Lava in the Americas, 1001 in EMEA, and no vac and Solvol in Asia-Pacific. Global sales of these products included under the initiative were $11.8 million in the first quarter, down a little more than 1% compared to last year.  As part of our brand architecture initiative, WD-40 BIKE is going to get a makeover this year as well. It will be moved out of the Specialist product line and wear the new packaging I just outlined for WD-40 Specialist. However, for external reporting purposes, we'll continue to keep the WD-40 BIKE separate from the WD-40 Specialist. Overall, we believe we're on track to reach a combined revenue for the products under this strategic initiative number three of approximately $70 million by 2025.  Strategic initiative number four is to attract, develop and retain outstanding tribe members. Our goal under this initiative is to attract, develop and retain talented tribe members to grow -- and grow our tribe member engagement to greater than 95%. As you may have read about in our recent annual report titled, "a culture that can," our unique culture is very, very important to us and something that we covet.  Capturing culture in brick-and-mortar is not easy. I'm happy to report we did just that when we officially opened our new Milton Keynes offices in November. MK Hall, as it's called, houses approximately 90 tribe members and was specifically designed to reflect our unique culture, increased engagement, improved collaboration. The tribe, no doubt, are thrilled to be in their new work home. I firmly believe that our company's long-term success is directly linked to the outstanding tribe members and their exceptional motivation and dedication to WD-40 Company and its products. In fiscal year 2020, we will once again measure the engagement of our tribe, and we look forward to sharing the results of that engagement survey with you later this year.  Strategic initiative number five is operational excellence. At WD-40 Company, our cornerstone to operational excellence ties closely to one of our core values, to make it better than it is today. With this, our guiding mantra, we continually focus on optimizing resources, systems and processes while applying rigorous commitment to quality assurance, regulatory compliance and intellectual property protection. Using our 55/30/25 business model as a framework, we measure ourselves against this operational excellence initiative.  That completes the update of our strategic drivers. I'm now pleased to pass the call to Steve, who'll discuss in more detail our first quarter sales results.
Steven Brass: Thanks, Garry, and good afternoon. As Garry mentioned earlier, consolidated net sales were $98.6 million in the first quarter, down 3% year-over-year. On a constant currency basis, net sales would have been $100.8 million in the first quarter, relatively constant compared to last fiscal year.  Before I discuss what's happening in individual segments, I'd like to remind investors about something Garry has shared with you many times. Though we don't consider our business to be seasonal, it is quite common for our sales results to fluctuate from one period to another. These fluctuations can be driven by a myriad of things, including the level of promotional activities, specific programs being run at customer locations, the timing of customer orders or the impact of new product launches. This is all a normal part of our business, and we are accustomed to these types of fluctuations and manage them as part of our regular business activities.  So now let's start with the Americas. Net sales in the Americas, which includes the United States, Latin America and Canada, were down 2% in the first quarter to $46.7 million. Sales and maintenance products decreased nearly 2% in the Americas, primarily due to lower sales of WD-40 Specialist in the United States. Sales of WD-40 Specialist in the U.S. were down 19% due to the timing of promotional activities. We were up against a very tough comparable period in the United States due to a successful WD-40 Specialist or the give back promotion we ran in the first quarter of last fiscal year.  Maintenance product sales in the first quarter remained relatively constant in Canada and Latin America. As a reminder, our maintenance products exclude our homecare and cleaning products. Sales of our homecare and cleaning products in the Americas decreased 6% in the first quarter compared to the prior year, largely due to lower sales of Lava and Spot Shot, which declined 17% and 8%, respectively.  We continue to consider our homecare and cleaning products, except for those listed as 2025 brands, as harvest brands that continue to generate meaningful contributions and cash flows but are generally expected to become a smaller part of our business over time.  In total, our Americas segment made up 47% of our global business at the end of the first quarter. Over the long term, we anticipate sales within this segment will grow between 3% to 6% annually.  Now on to EMEA. Net sales in EMEA, which includes Europe, the Middle East, Africa and India, increased to $39.2 million in the first quarter, up about 1% from last year. EMEA's reported results in the first quarter were negatively impacted by foreign currency exchange rates. On a constant currency basis, sales in EMEA would have increased to $41.1 million, up about 46 -- sorry, up about 6% compared to last year.  As you know, we sell into EMEA through a combination of direct operations and marketing distributors. Net sales in our EMEA direct markets, which accounted for 63% of the region's sales in the first quarter, remained flat during the first quarter compared to last year. Although overall sales in the direct markets remained constant for the quarter, sales of 1001 Carpet Fresh in the U.K. increased by 30% during the quarter. 1001 continues to benefit from favorable impacts of digital marketing associated with the brand.  Net sales in our EMEA distributor markets, which accounted for 37% of the region's sales in the first quarter, increased 3% during the quarter. This increase was primarily due to increased sales of WD-40 Multi-Use Product in the Middle East due to the timing of customer orders.  In total, our EMEA segment made up 40% of our global business at the end of the first quarter. Over the long term, we anticipate sales within the EMEA segment will grow between 8% to 11% annually.  Now on to Asia-Pacific. Consolidated net sales in Asia-Pacific, which includes Australia, China and other countries in the Asia region, decreased to $12.6 million in the first quarter, down 15% from last year. Changes in foreign currency exchange rates had an unfavorable impact on sales in the region. On a constant currency basis, sales in Asia-Pacific would have decreased to $12.9 million in the first quarter, down 13% from last year.  In Australia, net sales were $4.1 million in the first quarter, up 5% compared to last year, driven by a higher level of promotional activities and continued growth of the base business. Changes in foreign currency exchange rates had an unfavorable impact on sales in the region. On a constant currency basis, sales in Australia would have increased 11% from last year.  In our Asia distributor markets, net sales were $6.2 million for the quarter, down 21% compared to last year. The significant decrease in sales is primarily attributable to the timing of customer orders in the region. We had significant fourth quarter sales in our Asia MD markets, which has resulted in a lighter first quarter. Our Asia distributor markets are not impacted by currency since we sell our product in U.S. dollars in this region.  In China, net sales in U.S. dollars decreased to $2.3 million in the first quarter, down 23% compared to last year due to the timing of customer orders. Sales in China during the quarter were also negatively impacted by activities associated with the 70th anniversary of the Founding of the People's Republic of China, which resulted in slowed market conditions in certain geographies. In constant currency, sales in China were down 21% for the quarter.  We remain optimistic about the long-term opportunities in China, although we expect a lot of volatility along the way due to the timing of promotional programs, the building of distribution, shifting economic patterns and varying industrial activities.  In total, our Asia-Pacific segment made up 13% of our global business in the first quarter. Over the long term, we expect sales within this segment will grow between 10% to 13% annually.  Now I'll turn over the call to Jay for an update on the financials.
Jay Rembolt: Thank you, Steve. Let's start with a discussion about our 55/30/25 business model, the long-term targets we use to guide our business. As you may recall, the 55 represents gross margin, which we target to be at 55% of net sales. The 30 represents our cost of doing business, which is our total operating expenses, excluding depreciation and amortization. Our goal is to drive our cost of doing business over time toward 30% of net sales. Finally, the 25 represents our long-term target for EBITDA.  First, the 55 or our gross margin. In the first quarter, our gross margin was 54.3% compared to 55.1% last year. This represents a decline of 80 basis points. Impacts from sales mix changes and other miscellaneous costs, primarily in EMEA, negatively impacted our margin by 70 basis points in the quarter. In addition, higher warehousing and freight costs, also primarily in EMEA, negatively impacted our gross margin by 70 basis points. Higher advertising, promotional and other discounts that we give our customers negatively impacted gross margin by 40 basis points during the quarter. These negative impacts to gross margin were partially offset by the favorable effects of price increases, which we've implemented in EMEA over the last 12 months and which positively impacted gross margin by 80 basis points in the first quarter. Changes in major input costs,positively impacted our margin by 10 basis points.  Petroleum-based specialty chemical costs positively impacted our gross margin by 30 basis points period-over-period. However, increased cost of aerosol cans negatively impacted our margin by 20 basis points and significantly offset the gains we realized due to the lower petroleum-based costs. Finally, changes in foreign currencies also had a positive impact and impacted our gross margin by 10 basis points.  Now I'll address the 30 or our cost of doing business. In the first quarter, our cost of doing business was approximately 38% compared to 37% last year. While both SG&A expense and advertising and promotion investment decrease period to period, our overall -- our cost of doing business increased as a percentage due to the reported revenue decline in the first quarter. For the first quarter, 75% of our total cost of doing business came from 3 key areas: people costs or the investments we make in our tribe; the investments we make in marketing, advertising and promotion. As a percentage of sales, our A&P investment was 5.7% in the first quarter. And finally, freight costs, the cost to get our products to our customers.  Over time, we expect our cost of doing business will move towards our long-term target of 30% as revenues increase. This brings us to EBITDA, the last of our 55/30/25 measures. EBITDA was 17% of net sales for the first quarter of this year compared to 18% last year. That completes the discussion of our business model. Now let's discuss some of the items that fall below the EBITDA line. Provision for income taxes was 14.7% in the first quarter compared to 17.6% last year. The decrease in the effective income tax rate was primarily due to an increase in excess tax benefits from settlements of stock-based equity awards.  Despite the lower tax rate in the first quarter, we expect that our effective tax rate for the full fiscal year will be in the 20% to 22% range. And net income for the first quarter was $12.2 million versus $13.3 million in the prior year, reflecting a decrease of 8%. Changes in foreign currency exchange rates negatively impacted our net income by about $500,000 in the first quarter. On a constant currency basis, net income would have been $12.7 million in the first quarter.  Diluted earnings per common share were $0.88 for the first quarter compared to $0.95 for the same period last year. On a constant currency basis, diluted earnings per share would have been $0.92 for the quarter. Diluted weighted average shares outstanding decreased to 13.7 million shares from 13.9 million shares a year ago.  Now a word about capital allocation. Our capital allocation strategy includes a comprehensive approach to balance investing in long-term growth while providing strong returns to our shareholders. In fiscal year 2020, we expect to invest approximately $31 million in capital projects. This estimate is up from the $25 million we shared last quarter. Much of this capital will be used to procure the proprietary machinery and equipment needed to manufacture our next-generation Smart Straw delivery system. We expect to return to our historic capital-light business model over the next two years.  We continue to return capital to our shareholders through regular dividends and share repurchases. On November -- on December 10, our Board of Directors approved a quarterly cash dividend of $0.67 per share, reflecting an increase of 10% over the previous quarter's dividend. This increase represents the 10th consecutive year the company has raised its annual dividend. And based on today's closing price of $191.81, the annualized dividend yield is 1.4%.  During the first quarter, we repurchased just under 27,000 shares of our stock at a total cost of approximately $5 million under our current $75 million share repurchase plan. As of November 30, we had approximately $40 million remaining under the current plan.  Now I'll turn to guidance. Today, we are reiterating the guidance we gave on October 17, 2019. With that, net sales is projected to be between 3% and 7%, with net sales expected to be between $436 million and $453 million. Gross margin for the full year is expected to be between 54% and 55%. Advertising and promotion investment is projected to be between 5.5% and 6% of net sales. The provision for income tax is expected to be between 20% and 22%. And net income is projected to be between $65 million and $66.2 million. Diluted earnings per share is expected to be between $4.74 and $4.83 based on an estimated 13.7 million weighted average shares outstanding.  This guidance is expressed in good faith and is believed by the company to have a reasonable basis. However, it is not possible for us to predict any reasonable degree of certainty of the actual impact that fluctuating crude oil prices or foreign currency exchange rates can have. These fluctuations could potentially have a significant impact on our 2020 guidance. This guidance does not include any future acquisitions or divestitures.  And that completes our financial overview, and now, I'll turn it back to Garry.
Garry Ridge: Thanks, Jay. In summary, what did you hear from us on this call today? You heard that our business is one in which fluctuations in the performance of our markets from quarter-to-quarter are not unusual. You heard that foreign currency exchange rates continue to be a headwind, wind on our consolidated global sales results, particularly in EMEA. You heard that our long-range, long-term strategic drivers continue to perform well in line with our expectations, and that we remain committed to our probably wrong and roughly right long-term goal to drive consolidated net sales to approximately $700 million by the end of fiscal 2025. You heard that we see a significant opportunity to increase the penetration of Smart Straw from 41% to 60% globally over the next 5 years, and that growth is expected to lead to approximately $50 million in incremental revenue.  You heard that we're launching a new packaging for our WD-40 Specialist line, which we believe will deliver major benefits as it becomes the blue and yellow brand with a little red top. You heard that our Board of Directors increased our dividend by 10% last month, and you heard that we have reiterated our fiscal year guidance today. In closing, I'd like to share a quote from my friend, Simon Sinek, "Nothing and no one can perform at 100% forever. If we cannot be honest with one another and rely on one another for help during the challenging parts of the journey, we won't get very far." Thank you for joining us today. We would be pleased to now open the conference call to your questions.
Operator: [Operator Instructions]. And our first question comes from the line of Linda Bolton-Weiser from D.A. Davidson.
Linda Bolton-Weiser: Happy New Year.
Garry Ridge: Hey, Happy New Year.
Linda Bolton-Weiser: So I just wanted to ask first about the new Smart Straw technology product that's coming out this year. I think before, you had been talking about June, and now it seems like you said July. I know it's not a big deal, but is there any sort of delay that you're experiencing in getting the product ready for market?
Garry Ridge: No, nothing material. It's just a matter of timing of the launch. We'll launch in July. And then over the next 18 months or so, we'll progressively move Smart Straw next generation, which is both Smart Straw 1.5 and Smart Straw 2, around the world. And as we shared, Linda, as we then now have -- as we now have with our -- all of the investments we've made the production capacity, we're now aggressively going to be moving our penetration from 41% to 60% and that will deliver approximately $50 million in incremental revenue over the next few years. So we're excited about being in the position now, and we're ready to go.
Linda Bolton-Weiser: Okay. And then can you just talk about -- I guess, on the cost side, your can costs -- you've talked about some of the impacts on your can costs. And it's my understanding that in the past, sometimes you would redo some of these medium-term contracts in the beginning part of the year. Is there any news on that front in terms of what you expect on can costs in the next 12 months?
Jay Rembolt: We've built that into our fiscal year guidance. So we think we're -- our -- the price increase was -- has already built in.
Linda Bolton-Weiser: Okay. And can you just give me -- I'm sorry if I missed -- can you just give me what the Specialist -- WD-40 Specialist sales were in the quarter? I missed that number.
Garry Ridge: Yes, we can. Wendy is looking them up right now. $8.4 million.
Linda Bolton-Weiser: $8.4 million. And just in terms of the packaging change for Specialist, is -- are the costs related to that somewhat material? And I assume you have it figured into your guidance, but is there any way that you can quantify or put some -- give us some color on how much those costs are for the year?
Garry Ridge: They're not material. This is going to be a phased launch. So what will happen is the product that's on the shelf will be replaced with our new packaging as we roll it out. The first one, we think -- Steve, when do we think the first one will be?
Steven Brass: It will be June or July.
Garry Ridge: June or July, you'll see the first one on the shelf. But all of the costs in developing the new packaging have already been absorbed, all of the research. This project has been going on for nearly two years. And so we're really excited about it. We really believe that taking Specialist to the blue and yellow brand with a little red top will give us a much better communication on the shelf. We've simplified some of the communication. So it's going to be a great rollout, and we're pretty excited about it.
Linda Bolton-Weiser: Okay. And then can I just ask, I guess, with regard to some of the issues on your sales line in the quarter, you mentioned it was timing of orders, and we've seen that before. Are you pretty confident that some of those orders are going to come back? And can you be more specific to give us some confidence on the next quarter? And also, the slowdown in China, have you seen that kind of alleviated once we're past that time period now?
Garry Ridge: Yes. Sure. China, there was a couple of things that happened. Number one was it was the celebration of the 70th year of the Republic of China. During that period of time, things slowed up, transportation changed, the positioning of Chinese New Year. So we would expect to see a healthy second quarter in China.  If you look at our Asian market, in the last quarter, had a very robust quarter in Asia. Our distributors business was up 27%. China was up 22%. So this -- the first quarter is always a little softer in that region. The other thing, too, is that there's a larger percentage of distributor business in China. So it tends to be a little more lumpy than anywhere else because it's a smaller number of distributor customers buying large volumes, excluding China and Australia, of course.  So there's nothing here that we are concerned about. We reiterated our annual guidance, and I think we'll be talking to you in 3 months' time and you probably will see a different picture. And if we thought it was any -- going to be any different to that, we would tell you.
Operator: Our next question comes from the line of Daniel Rizzo from Jefferies.
Daniel Rizzo: Will you be changing the packaging on other products? Are you considering like looking at like WD-40 BIKE or other things like that to maybe, I don't know, kind of tweak the packaging, so to speak?
Garry Ridge: Yes. Yes. As I mentioned on the call, Daniel, we're going to be moving BIKE under the Specialist packaging. So it will end up looking like the blue and yellow can with a little red top. So you'll see that start to roll out, too, progressively over the year.
Daniel Rizzo: Okay. I'm sorry I missed that. And then, I mean, you mentioned what you're doing with Smart Straw and how important that is. I think you said you're spending $31 million. Did I get it correctly that, that's $31 million over 2 years that you'll be spending to kind of -- to change -- to tweak some of the machinery?
Jay Rembolt: Yes. That's our estimate for this year's overall total CapEx budget. So that's just this year, is right.
Garry Ridge: The majority of the Smart Straw investment, some of it has already happened. This second tranche, if you will, is buying the machines that go on the line. So there's 2 parts to Smart Straw. There's one -- is the machinery and the dies to make it. The second part is the machinery that we actually put on the production lines to make sure that we efficiently apply it to the can. So all of that will be done as we start to roll it out by the end of this year.
Daniel Rizzo: Does anything -- will there be some like trickling into 2020 -- 2021, excuse me, potentially?
Jay Rembolt: Yes, a little bit should trickle into 2021.
Daniel Rizzo: Okay. And then you mentioned mix headwind in EMEA. I was just wondering what -- if you could provide some color on that. Is it for like increased distributor sales or just -- I mean, it's less Specialist sales? I was wondering what the mix you were talking about was.
Jay Rembolt: Yes. There's a -- we had a larger percentage of our sales to our distributor markets. So that's one. We also had some higher percentage with a couple of products that have...
Garry Ridge: 1001.
Jay Rembolt: 1001, which has a slightly lower margin.
Garry Ridge: The 1001 sales in EMEA were up 30%, and that margin on 1001 is lower than our core product.
Daniel Rizzo: And then finally, you mentioned the -- excuse me, the -- I was wondering how EZ-REACH Straw was going. That seems to be a fairly robust product, too. I mean is it taking share? Or how is the growth trajectory on that?
Garry Ridge: I'll let Steve answer that.
Steven Brass: So EZ-REACH is growing very, very nicely around the world. And so as we expand distribution now into more markets, particularly within the EMEA segment, we are very satisfied with growth, and we expect that to continue to be a major growth driver going forward.
Operator: Your next question comes from the line of Rosemarie Morbelli from G. Research.
Rosemarie Morbelli: So I was wondering what is your assumption for oil prices in your guidance.
Jay Rembolt: It's in the current range. I know that we've had some fluctuations recently, but we -- we're within the $60 to $70 range is really the place where we've pegged our plan.
Rosemarie Morbelli: Okay. And whether it is $60 or $70, does eventually change your bottom line or your top line?
Jay Rembolt: So there'll be movement with both, but they are captured within our range of guidance.
Rosemarie Morbelli: Okay. And then I missed, and I apologize. When you were -- and I believe I understood what you said properly. You reported $0.88, and I think that you say that excluding some items, it would have been $0.92. First of all, did I hear that properly? And if yes, what are those items? I missed that detail.
Jay Rembolt: Yes. I think that the reference was that we reported $0.88 had we been reporting under what constant currency that we had -- the currency rates that we had -- were in effect last year, it would have been the $0.92. It's simply a constant currency measure rather than an other item.
Rosemarie Morbelli: All right. No, that is helpful. So now, the new packaging on the Specialist side, this is going to cannibalize revenues. So if I heard properly, you are going to take the old cans from the shelves and then replace them with the new ones, and so this is one thing. How much cannibalization do you expect?
Garry Ridge: Oh, no.
Rosemarie Morbelli: No?
Garry Ridge: No, no, no. There will be no -- it's just a straight replacement. So there's no cannibalization at all.
Rosemarie Morbelli: Okay. And when you take back that old can or old packaging, can you reuse the products that is in there and in order to refill a new one, the new product?
Garry Ridge: We won't be taking any back, Rosemarie. This is a pure replenishment. As the old sells out, we will sell in the new. So it's what we call a soft conversion. So there's no product coming back. There's no disruption in the flow of sales. What we will see for a little time is both packaging on the shelf. But over time, that will evaporate. So this has no revenue, negative cost, negative impact at all.
Rosemarie Morbelli: Okay. I totally misunderstood that. And then you said that you are taking the -- putting the BIKE under the new Specialist packaging, or I am assuming also manage as under the Specialist group. Why keep the financial data where it is and not including -- and not included going forward in the Specialist group?
Garry Ridge: Well, because we report it now in the other group, and we wouldn't be a comparable because it wasn't in there before. So we've decided at this time to leave it out as a line on its own. And when you think about it in the big scheme of things, it's a couple of million dollars, I guess. So it's not significant. But we'll look at it again at the end of next fiscal year once we've done the conversion to see if it makes sense.
Rosemarie Morbelli: Okay. This is very helpful, and good luck for the full year results. Nevermind next three quarters.
Garry Ridge: Well, the full year is what we're about. We're playing the infinite game.
Operator: Ladies and gentlemen, that does conclude our allotted time for questions. We thank you for your participation on today's conference call, and ask that you please disconnect your lines.